Operator: Greetings. Welcome to Sterling Infrastructure's 2022 Fourth Quarter and Year-End Earnings Conference Call and Webcast. As a reminder, this conference is being recorded. And all participants are in a listen-only mode. There are accompanying slides on the Investor Relations section of the company's website. Before turning this call over to Joe Cutillo, Sterling's Chief Executive Officer, I will read the safe harbor statement. Some discussions made today may include forward-looking statements. Actual results could differ materially from these statements made today. Please refer to Sterling's most recent 10-K, 10-Q filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligation to update forward-looking statements as a result of new information, future events or otherwise. Please note that management may reference EBITDA, adjusted EBITDA, adjusted net income, adjusted earnings per share on this call, which are all financial measures not recognized under U.S. GAAP. As required by the SEC rules, regulations, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in our earnings release issued yesterday afternoon. I will now turn the call over to Mr. Joe Cutillo. Thank you, sir. Please go ahead.
Joe Cutillo: Thanks, Sherry. Good morning, everyone, and thank you for joining Sterling's fourth quarter and full year 2022 earnings call. It's hard to believe this is my sixth year-end earnings call as CEO of Sterling. It's always fun to reflect back on all the accomplishments and see the transformed company that is stronger than ever. These accomplishments are a tribute to our people, our culture and our strategy.  Without the best people in the industry, delivering the Sterling way, none of this would have been possible. The only thing that excites me more are the opportunities we have ahead of us. But before we discuss that, I'd like to talk about the results and the accomplishments of the fourth quarter and the full year. In addition, I'll talk about our current markets and our 2023 outlook. Unless otherwise stated, all numbers discussed today will be for continued operations. In 2022, we continue to be one of the safest work environments in our industry. We won two National Safety Awards and our largest transportation business went the entire year without a recordable or lost-time incident. Our employees' commitment to keep each other safe, along with the continuous training that takes place is really paying off. We continue to look for innovative ways to get even better with the use of new proactive indicators and artificial intelligence. Our journey will never stop until everyone goes home safe every day.  2022 marked another year of significant progress in our journey to become a leading infrastructure service provider. For the year, our e-Infrastructure segment grew 93%. Approximately one third of this growth was organic and two third of this growth was from the acquisition of Petillo. E-infrastructure is now 51% of our total revenue and 66% of our total segment operating income. It remains our fastest-growing and highest-margin segment. The strong demand for data centers, distribution centers and the reemergence of U.S. manufacturing has enabled us to end the year with record backlog.  Our Building Solutions segment continued to deliver strong results, even with a second half decline in the residential market. On just over 1% total revenue growth, Building Solutions delivered a 12% increase in operating income versus prior year. This increase was driven by our team's continued focus on price and productivity. 20% of our segment operating income outcomes for Building Solutions.  Favorable market conditions and margin improvements continued in our Transportation segment throughout the year. The combination of higher quality work and the continued shift away from low bid to alternative delivery projects delivered a 34% improvement in operating income on 14% less revenue. A major contributor to the revenue drop was a conscious shift of transportation resources to perform higher-margin commercial and e-infrastructure work in the Rocky Mountains.  Another strategic accomplishment in this segment was the divestiture of our 50% owned venture in California. The risk return ratio of the market, coupled with our 50% ownership stake made this a nonstrategic asset. At year-end, our combined backlog in Transportation was up 19%, and the margins in backlog increased 200 basis points versus year-end prior year. Our Transportation segment that represents 14% of our segment operating income.  For the quarter, our consolidated revenue was up 26%. Our gross profit was up 31% and our net income was up 80% versus prior year. For the full year, our revenue grew 25%. Our gross profit improved 35% or 110 basis points and is now at 15.5%. Our operating income was up 49%. Our net income increased 54% and our earnings per share were up 49%. In addition, we generated $219 million of cash from operations and finished the year with $182 million of total cash on the balance sheet, up over $120 million from prior year. These results are incredible when you consider the challenges we had overcome with inflation, the supply chain and the declining residential market.  We entered 2023 with a combined backlog of $1.69 billion, up 25% over December 2021. And the margin in our combined backlog improved 160 basis points. As we look forward to 2023, the strong market conditions in e-infrastructure and Transportation Solutions, coupled with our margin improvements and year-end backlog enables us to forecast another record year for Sterling. Based on the midpoints of our 2023 guidance, our revenue will grow 10.2%, our net income will improve 10.6%, and our earnings per share will increase 8.4%.  Our full year guidance range for 2023 are follows: Revenues will be between $1.9 billion and $2 billion; net income will be between $104 million and $110 million; our earnings per share will be between $3.33 and $3.35; and our EBITDA will be between $220 million and $235 million. With that, I'd like to turn it over to Ron to give you more details on the quarter and the full year. Ron?
Ron Ballschmiede: Thanks, Joe, and good morning. I am pleased to discuss our record fourth quarter and full year performance. Our updated Investor Relations slide presentation has been posted to our website and includes additional financial details to help further understand our 2022 results. The presentation also provides additional modeling considerations, which underpin our 2023 revenue and earnings guidance. As you may recall, we closed on the Petillo acquisition on December 30, 2021, resulting with the inclusion of Petillo's financial results for all 2022. Additionally, on November 30, 2022, we sold Sterling's 50% ownership interest in Myers for $18 million. We received $12 million of cash in early January 2023 and will receive the balance over the next few years. The divestiture is consistent with our strategy of reducing our portfolio of low bid, heavy highway projects in order to increase Sterling's margins and reduce risk. The financial operating results of Myers have been presented as a discontinued operations for 2022 and prior periods. For the year ended December 31, 2022, we reported net income from discontinued operations of $9.7 million, consisting of an after-tax gain of $13.2 million from the sale which was partially offset by a tax loss from operations of $3.5 million. Now let me take you through our financial highlights, starting with our backlog metrics. At December 31, '22, our backlog totaled $1.414 billion, up $86 million from the beginning of the year. The gross margin of this backlog was 14.3%, a 170-basis point improvement over the beginning of the year. A higher portion of e-infrastructure backlog and increased transportation backlog margins drove this improvement.  Unsigned low-bid Awards at the end of 2022 totaled $275 million, an increase of $23 million, an increase from $23 million at the beginning of the year. We finished the year with a combined backlog of $1.689 billion, a $339 million increase over 2021. Our gross profit in combined backlog was 14.2% compared to 12.6% at the beginning of the year. Our full year 2022 book-to-burn ratios were 1.06 times for backlogs and 1.22 times for combined backlogs. Revenue for the fourth quarter was $488 million, up $93 million over 2021. Our full year 2022 revenues totaled $1.769 billion, up $355 million from 2021. As a result of our strong backlog and opportunities in our e-infrastructure and transportation markets, our 2023 revenue guidance range is $1.9 billion to $2 billion. Moving to our segments. Our current quarter e-infrastructure revenues were $247 million, an increase over the prior year quarter of $120 million. Full year e-infrastructure revenue was $905 million, an increase of $437 million over 2021. The year-over-year revenue increase included $289 million from the late 2021 acquisition of Petillo, and e-infrastructure organic growth of $148 million. Including the Petillo acquisition, on a pro forma basis, 2022 organic revenue growth was 32% and 35% for the fourth quarter and full year, respectively. The e-infrastructure organic growth reflects the continuing strong demand for data centers, distribution centers, warehouses, and more recently, new manufacturing opportunities across our expanding footprint.  Transportation revenues were $127 million in the current quarter, a decrease of $23 million or 15% from the prior year. Full year transportation revenues were $542 million, a decrease over the prior year of $85.6 million or 14%. The revenue decline was driven by a shift of transportation resources to perform additional higher-margin commercial and e-infrastructure work and due to the timing of the execution of our backlog.  Consistent with our strategic intent, low bid heavy highway work declined by approximately $10 million year-over-year. The current year quarter of Building Solutions revenue was $75 million, a decrease over the prior year quarter by $4 million. The full year of Building Solutions revenues were $232 million, an increase of $4 million over the prior period. Building Solutions revenue increases were partially driven by higher demand in the multifamily market, partially offset by a decline in single-family housing as ownership became less affordable due to increasing interest rates and inflation.  Current quarter consolidated gross profit was $69 million, an increase of $16 million over the prior year quarter. Gross margin increased to 15.4% or 60 basis points over the comparable period. Full year consolidated 2022 gross profit was $275 million, an increase of $71 million over 2021. That provided for gross margin increase to $15.5 million -- 15.5% or 113 basis points over 2021. Both the fourth quarter and full year gross margins were at record levels. This consolidated margin increase reflects the increased mix of revenues from our higher-margin e-infrastructure segment and increased margins from both our Transportation and Building Solutions markets.  Our gross margin improvements were negatively impacted by continuing supply challenges and inflationary pressures, which primarily impact our e-infrastructure and Building Solutions segments.  General and administrative expense was flat in the quarter compared to the prior year and increased $17.3 million to $86.5 million for the full year. Over 70% of this increase was attributable to Petillo acquisition with a balance driven by inflation and higher revenue-related incremental costs. We continue to expect our full year G&A expense to be approximately 5% of revenues.  Operating income for the fourth quarter was $37 million, an increase from $20 million for the prior year quarter. Current quarter operating margin increased to 8.3% compared to 5.6% in the prior year quarter. For the full year, 2022 operating income was $159.9 million, reflecting a $52.9 million increase over the prior year. Our full year operating margin increased to 9% compared to 7.6% in the prior year. Both fourth quarter and full year operating margins were at record levels. Our effective income tax rate for the 2022 fourth quarter and full year was approximately 34% and 30%, respectively. We expect our full year 2023 effective income tax rate to be 28% to 29%. The net effect of all these items resulted in a fourth quarter net income of $20.2 million or $0.66 per share and 2022 full year net income of $96.7 million or $3.16 per share. Our net income guidance is $104 million to $110 million for 2023, and our earnings per share guidance is $3.33 to $3.53 per share. Our fourth quarter EBITDA totaled $49 million -- $49.9 million, an increase of 78% over the prior year quarter. Full year 2022 guidance totaled $208.7 million, an increase of 51% over the prior year period. As a percent of revenues, EBITDA improved to 11.1% of revenue for the quarter, up 7.9% -- up from 7.9% in the prior year quarter. For the year, EBITDA improved to 11.8% of revenue as compared to 9.8% in 2021. We expect our 2023 EBITDA to be in the range of $220 million to $235 million.  Cash flow from operating activities in 2022 was a very strong $219 million compared to $158 million for the prior year. The current quarter 2022 cash flow from operations was $88.5 million. Our strong third quarter and fourth quarter cash flows totaled $185 million and allowed us to more than recover from a slow cash generation in the first half. The 2022 cash flow fluctuations were principally driven by significant organic growth from our e-Infrastructure segment as well as improved margins from each of our other sectors. Cash flow from investing activities, including -- included $56 million of CapEx, $18 million related to the Arizona residential slab acquisition and $16 million related to the disposition of Myers. The CapEx reflects the higher e-infrastructure Solutions activities, including the impact of the Petillo operations.  Our cash flow from financing activities was a $33 million outflow, which included $23 million related to scheduled debt payments. Finally, the diversity and strength of our portfolio of businesses, our strong liquidity position consisting of $182 million cash at the end of the year and are comfortable 1.9 times EBITDA leverage. We are well preferred to take advantages of additional opportunities in 2023 and beyond.  Now I'll turn it back over to Joe.
Joe Cutillo: Thanks, Ron. As we look at 2023 and beyond, we believe our e-infrastructure segment will remain our fastest growing, highest margin segment for the next several years. Data center activity remains strong and the need for data management continues to grow. If you step back and think of it, data collection technology is integrated in everything we use. Our homes, our cars and our phones are all being one link control system. Every time a new product comes out, it's more about the ancillary tech features than the products itself. This pace will only increase as we bring on new technologies and integrate artificial intelligence.  E-commerce distribution center growth remained solid as big name retailers build out their networks to compete with Amazon. The reemergence of U.S. manufacturing is happening faster than we anticipated. The largest near-term opportunities are around the production of electric vehicles and the batteries for these vehicles. The size and scope of these facilities make them a perfect fit for our strengths and our services. As we look forward, data centers, e-commerce, distribution and manufacturing will provide us with strong growth opportunities for the next three to five years. We will continue to look for acquisitions in this segment and add to further capabilities or geographic coverage.  Building Solutions remains our second highest margin and operating income segment. We continue to see good growth in the multifamily space as first-time homes become less affordable. On the residential front, we have seen continued growth in the Houston market and slowdowns in both the Dallas and Phoenix markets. We believe the markets in Dallas and Phoenix will remain slow in the first half of 2023. We see this slowdown as an opportunity to pick up additional resources and market share. The need for first-time homes is strong, but affordability remains a challenge. To help counter this, builders are taking actions to offset both cost and interest rates. We believe we'll begin seeing a positive impact of these actions late in the second quarter or early third quarter 2023. Historically, we've come out of downturns with larger market share and stronger positions than we've gone into them. We continue to look for adding additional services and capacity in 2023 if the right opportunity presents itself.  Our Transportation segment is now seeing strong momentum from the infrastructure build. We continue to improve our margins by focusing on alternative deliveries highway, aviation and rail. In addition, the increased bid activity enables us to be even more selective in 2023. As we go forward, the strategy will remain the same, focused on reducing risk and improving margins with managed revenue growth. In addition, we will continue to evaluate opportunities to ship resources from transportation to our e-Infrastructure and Building Solutions segments and geographies outside their existing footprints.  2022 was a great year. In 2023 is positioned to be even better. We have built a proven platform of diverse infrastructure services that deliver today and could be expanded upon in the future. We've come a long way as a company, but are still in the early innings of what we can do. It is really exciting and an honor to be leading this great company and this amazing team. With that, I'd like to turn it over for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Brent Thielman with D.A. Davidson. Please proceed. 
Brent Thielman : Hey, great. Good morning, Joe, Ron. Congrats on a great year. I guess first question, just with respect to the guidance for 2023. Wondering if you can provide anything more specific in terms of the expectations for the three businesses. Joe or Ron, I mean, I guess, in particular, be curious how you're thinking about Building Solutions over the course of the year. I think I heard you say you thought maybe more positive impacts coming in the second half, but if you could provide anything more of that, that would be helpful.
Joe Cutillo: Yeah, you want to give some of the detail. But let me give you a kind of a high level. We certainly -- we saw the slowdown in the third and fourth quarter last year. It looks like it's, I'll call it, stabilize to a degree coming into the first quarter. And we've really seen the builders take -- they took a lot of actions, but they didn't really take a lot of the actions until we saw more of them starting to hit in the fourth quarter. And some of those are around buying down plants, giving discounts at homes. But where we think some of this will also start to kick in is the next homes that they're getting ready to build, they're either taking a little less of the frills out of the homes or downgrading the appliances. They're doing several things to take significant cost out. And if you think of it, those homes won't start hitting the market until second and third quarter of this year. And we think the combination of those things really get people back.  And one of the things that builders keep telling us is the traffic is down, but the hit rate is up significantly. So the people coming in are buying homes, and there's still a lot of demand. Ron, do you want to give some more detail on them?
Ron Ballschmiede: Sure. So with that, on the residential side, certainly in the first half, so we wouldn't expect growth. We'd expect some smaller decline kind of reducing first quarter to second quarter is as we see a level now are improving at some point in time. So I think full year, our crystal ball says kind of a push in revenues for the year. That looks like it will continue to be helped by multifamily housing and improve in our major markets. Interestingly, Houston has held up very well.
Joe Cutillo: Houston is still growing. Yeah, we haven't seen a decline at all in Houston. It's one of the few markets in the U.S. that really hasn't seen the decline across it. So that certainly helps. And we're hoping we can allocate more resources to that market.
Ron Ballschmiede: From the e-infrastructure side, we're expecting a very solid year with nice growth. You've seen a couple of press releases in the last six months for what I'll call the EV world. Those are large projects, relatively quick book and burn, meaning that average for that -- that sector is less than a year on average compared to less than two years between one and two on the transportation side. So we expect some maybe even low double-digit revenue growth for that segment. Really depends on how fast we can move up and get going on these jobs, but it's very strong.  And then on the Transportation side, we'll be up low single digits. I think that's consistent with our plan. A couple of variables in there. We have a large design build in our unsigned. That's the majority of our $200 million plus of unsigned work. As soon as that gets approved, we will ramp up, and that will likely be in the back part -- back half of the year where we're seeing meaningful revenues coming from that individual project. But the market is good solid and our backlog is solid. So I think that will keep going and just to put a number on something we talked a little bit about moving resources around. As we report our segments, both by the product, not the business units. So for instance, this year, our transportation group footprint has done about $85 million of revenues from both commercial work and e-infrastructure work in their footprint. So they're busier than it looks, It is pure transportation business, but that's really consistent right on our strategy, higher risk or higher margins, lower risk work and a steady stream of what I'll call risk-adjusted transportation were alternative delivery and manageable hard bid work. So that's kind of the big picture.
Brent Thielman : Okay. I appreciate all that, Ron. Just to clarify, you think Building Solutions could potentially be flat for the year?
Ron Ballschmiede: Yeah.
Joe Cutillo: Pretty close.
Ron Ballschmiede: Yeah. Okay. Second, better than -- better than second and fourth Sterling. Fourth is down a little bit with the holidays, et cetera.
Brent Thielman : Okay. And the strong outlook there for e-infrastructure. Just wondering what's already in backlog today versus what you need to pick up over the course of this year kind of reach the targets for the segment and put it in that guidance?
Joe Cutillo: Yeah. We're -- generally, we've got about 6 months of backlog in place. I would tell you we're in a better position than that right now for the year. We still need to pick up a little bit in the Northeast. We've got some capacity coming free there in the second half, but there's a lot of activity the two recent range with the Rivian and the SK battery plant. Those are very, very large projects that will consume a fair amount of the Southeast capacity this year and fills them up right now.  So we'll look if other very large projects come out in the Southeast, we may even do some build of those using any resources from the total to come available in the second half of the year.
Brent Thielman : Okay. And then, Joe, I mean, it's been a year since your last big transaction, maybe just thoughts on the M&A pipeline, how serious some of those discussions might be going and likelihood we could see something here in '23?
Joe Cutillo: Yeah. So yes, we're certainly -- on the tuck-in front, we're always looking hard, right? And small deals, I'll call it, $10 million to $50 million deals. We're looking at every day. For bigger deals, we are certainly looking. We haven't found the right one. We'd like the banking world maybe to come back a little bit. That would be nice would crude to help us. So our strategy right now is how do we continue to look, maybe have something close or lined up and when the banking worlds come back, we will execute on that.  So we definitely would like to add something of size or even that fourth leg if possible, Brent. So we're continuing to move on that. Just a little more challenging in today's banking world to jump on it. But on the positive front, I mean, we're sitting with a bunch of cash and we had to figure out what to do with that to make the best return for our investors.
Brent Thielman : Okay. Thanks, guys. I'll pass it on. 
Joe Cutillo: Thanks, Brent. Good talking to you. 
Operator: Our next question is from Sean Eastman with KeyBanc Capital Markets. Please proceed. 
Alex Dwyer : Hi, guys. This is Alex on for Sean this morning. Thanks for taking our questions. So on e-infrastructure, can we just talk about the external supply chain environment, kind of how this has trended in the recent months? I'm just wondering if this has gotten any better or worse? And then in 2023 segment, it won't be comping off a year without Petillo, so there won't be that margin headwind from the lower margin work. So is it fair to expect some healthy margin expansion in this segment this year?
Joe Cutillo: Well, let me talk about the supply chain first. On the two biggest drivers on supply chain for our e-infrastructure, our pipe and diesel fuel, we've seen diesel fuel at least stabilize. So it's a little more predictable than what it was when we had to go from 2 something a gallon to 5 something a gallon. And I think it was 45 days. It was -- that's a little hard to predict, right? So it's stabilized. So I think we've got our pricing models and contracts built more effectively around that. So theoretically, we should see, as we get into later in the year after the second quarter, some pickup in margins related to that, for sure.  Pipe still remains a long lead time item. And so what we've ended up doing is still a little bit of a hit. But I'll tell you, we're getting better at scheduling the project, knowing that the pipe is going to be out towards the end. We're starting to see, for the first time, some equipment availability for what I'll call the traditional machines, excavators, dozers even seeing some articulated trucks just in the last few weeks on the market available for cat. So that's a good sign. Some of the specialty stuff is still lead long lead times. But I'd like to see their pricing come but I'm not sure we're going to see that pricing is up about 30% on equipment.  So I think it hasn't necessarily gotten a lot better, but it's at least stabilized and a more predictable overall and we can manage that more effectively.
Ron Ballschmiede: And maybe for clarity, we expect both units e-infrastructure units to increase revenues. I don't want to make a mistake that we're going to be down in the Northeast. They have a very nice backlog and a good opportunity list, if you will. They just tend to have a little bit smaller -- they had to sell more pieces of it, but we expect them to have another good year. So in answer to your question of margin versus between the two, if overall, at today's run rate, it's about a 2% delta all in for the different type of scope of work that we do in the Northeast compared to the Southeast Southern or United Southeastern part of the United States. That number -- that will stay about the same. It will inch down in a big year or slower or mix and things like that. But that's sort of a permanent call it, 1.5 to 2.25 until something happens, humbly different happens. But we don't expect that. That's what we -- that's what is our success. And with the union environment, that is what our clients prefer that we do and our clients are important to us.
Joe Cutillo: Yeah. I think the real -- we will always see a net shift down with the addition of Petillo and the other services. But we believe that in the second half, we will claw back some of the some of the erosion in margin that we saw from the supply chain. So again, it's stabilized. I think our pricing and our new jobs are much more firm and the -- what I'll call the risk of diesel going back up to $7 or $6 or $5 a gallon versus $3, we built it in that way or if we built it into $5 going to $8 or $9, I think it's much lower than it was this time last year.
Alex Dwyer : Got it. And then I just wanted to ask transportation margins. Obviously, you guys don't have Myers & Sons in the segment anymore. How much more room is there for margins to run in the segment? I think last quarter, you guys were talking about getting another point or so over the 18 to 24 months. So I'm just wondering if this is still the case.
Joe Cutillo: Yeah. I think it's actually a little higher than that. I think we'll get over the next 18 months, make 2 to 2.5 points. And if we continue to see the shift and work it could be better. But I feel great with 2 to 2.5 points over the next 18 months.
Ron Ballschmiede: Some of that will be a backlog. We can't rock it up that fast, but we should see a steady increase in gross margin in backlog.
Joe Cutillo: Our gross margin is up about 200 basis points right now. So that will flow through over the next 18 months.
Ron Ballschmiede: And that year-over-year, I would say 50-50 disposition versus selling at higher margins, that increase.
Alex Dwyer : Yeah. And my last question, I don't think I see a cash flow guidance anywhere for 2023. I know you guys have historically talked about operating income as a good proxy for your operating cash flow. Is this a fair assumption to make in 2023?
Ron Ballschmiede: I think it is. I think if you recall, we didn't start out strong in the first half of this year, so I probably backed off of getting to the operating income number. But the back half was just incredible. So I'm staying with -- it's hard to predict, but I think the continuing view would be -- start with operating income. We think we can continue to get in that ballpark given the structure we have today.
Alex Dwyer : Thank you. 
Ron Ballschmiede: Thank you. 
Operator: [Operator Instructions] Our next question is from Brian Russo with Sidoti. Please proceed.
Brian Russo : Hi, good morning. 
Joe Cutillo: Hey, Brian. 
Brian Russo : Just a follow-up on the transport. Do you have the capacity or the appetite to try to enhance the top line so you could have accelerating top-line growth along with 200 basis points of margin improvement? And it seems like the IIJA and given where you are in the Rockies and I believe Idaho. Those are pretty strong markets for infrastructure. Just wondering what maybe your post 2023 strategy might be?
Joe Cutillo: Yeah, we certainly have the capacity. Our strategy has been to be very selective, continue to get this margin up to the point where -- but we're -- if we get the margins up to 13%-14%, then we'll look at growing it at a more aggressive rate. The thing that's a little bit deceiving to people is that we are actually growing at a much faster rate in the Rocky Mountains than the total numbers look at. We're continuing to shrink that low bid revenue in several of the other areas. So Texas continues to shrink along with some of the other markets. So it offsets that. So the net is at 3% to 5%, but our growth rate in the Rocky Mountains is historically better than that. We'll continue to do that as long as that work remains.
Brian Russo : And how soon do you think you can burn the remaining heavy-type highway work that you're currently shedding?
Joe Cutillo: Yeah. When we look at our backlog, it probably averages two years in the heavy highway states and there's a blend there's jobs that will burn in three months, and there's jobs that are years long. But the bigger jobs that are in there, the design builds, the alternative delivery, they're usually 18 to 24 months durations on those. So we look -- we don't have an exact number, but 18 to 24 months is a pretty good number, generally just use two years.
Ron Ballschmiede: And we're pretty close to being where we want to be on hard bid work. Hard-bid highway work, there is strategic hard-bid opportunities that we will continue to go after. But the MATOC [ph] work is only $10 million down, that's not because we slowed down because we have less of that type of work that we want to reduce. So $10 million for the year that's pretty much declaring victory at this point in time, if you ever can do that. So that will be kind of a continuing flow. We had a little bit -- we had some jobs we will replace that will ultimately bring in better backlog. But the safer side might be as we have today for hard bid, just at better margins.
Brian Russo : Okay. Great. And then just a follow-up on e-infrastructure, low double-digit organic growth is pretty strong. And I'm just curious, you kind of have a unique service offering, right, and site development. We've heard from several E&C companies over the last couple of weeks directly point to data centers and/or electric vehicle manufacturing or just reshoring in general as a fairly robust market going forward. And I'm just curious, is low double-digit top line growth, is that sustainable when we get out past 12 months?
Joe Cutillo: Yeah. When we look out, we say the average over a three-year period if the market say that it's going to be kind of high single digits. So far, we've outpaced that significantly every single year. Our goal would be to try to keep it in that high single to low double-digit growth. We certainly see the opportunities there. If you look at the cycle, data centers are extremely strong and continue to have a long future. We don't see that slowing down anytime soon. In the e-commerce world, even though Amazon slowed down, the rest of the world is trying to cut Amazon is building very quickly and recently talking to some of the folks at Amazon, their plans are pretty strong when you get out past 24 and building more. So we see that continuing to be strong. But the manufacturing piece is really -- is not only a nice new entree for us, but the most important thing about that is the size and the scope of these projects. In the bigger the more dirt you have to move, the more complicated in a short period of time is a forte. We've got the most horsepower of anybody out there. And the recent announcement of the SK job, and that job has got 14 million yards of dirt on it. And I know that the surface doesn't mean a lot to people, but that's equivalent to 1.4 million dump trucks of dirt or if you stack those dump trucks up, you would go from New York to California, back to New York and then back to about St. Louis is how they would stack to kind of put it in perspective of how much dirt is being moved on that job in approximately a year. So these are really good. We -- there's more and more talk on chip manufacturing. I'll be honest, we haven't seen that's a little further behind. We haven't seen those projects progress or be at the point that the EVs and the battery plants are. But there's more electric vehicle builds and more battery plants down through the Southeast and up to the Northeast. And we're very pleased with those. And it's a great shot of adrenalin for us and a little extra boost over the next several years.
Brian Russo : Okay, great. Thank you very much. 
Operator: We reached the end of our question-and-answer session. I would like to turn the conference back over to Joe Cutillo for closing comments.
Joe Cutillo: Thanks, Sherry. I'd like to thank everyone again for joining today's call. If you have any follow-up questions or wish to schedule a call with us, please refer to the information provided in the press release associated with our Investor Relations Group here at Sterling or our partners at The Equity Group. I hope everybody has a great day, and thanks again. Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.